Operator: Good morning, and welcome to the Nuvve Holdings Corporation's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. On today's call are Gregory Poilasne, Chief Executive Officer; and David Robson, Chief Financial Officer of Nuvve. Earlier today, Nuvve issued a press release announcing its Q3 '25. Following prepared remarks, we will open up the call for questions. Before we begin, I would like to remind you that this call may contain forward-looking statements. While these forward-looking statements reflect Nuvve's best current judgment, they are subject to risks and uncertainties that could cause actual results to differ materially from those implied by these forward-looking projections. These risk factors are discussed in Nuvve's filings with the SEC and in the earnings release issued today which are available on our website. Nuvve undertakes no obligation to revise or update any forward-looking statements to reflect future events or circumstances. With that, I would like to turn the call over to Gregory Poilasne, Chief Executive Officer of Nuvve. Gregory?
Gregory Poilasne: Thank you, and good afternoon to everyone here today. Welcome to our Q3 '25 results call. In our last call, I shared with you that we were finalizing the restructuring of the organization. Now that our structure is in place, we have been able to shift our focus to stationary battery deployment. And over the last few days, we have made a few exciting announcements. First, in Europe and more specifically in Denmark, we are in the process of developing 3 2-megawatt battery projects. These battery projects represent about $10 million of CapEx with the forecasted internal rate of return greater than 25%. Once the development is well underway, we will be working with financing partners interested in investing in the project. Once the installation, interconnection and commissioning are done, which is planned for late 2026, we will start generating recurring revenue for the life of the batteries, most likely 10 to 12 years. Our experience over the last 9 years has shown potential revenues ranging between $400 and $600 per kilowatt year or potential annual revenue generation of $2.4 million to $3.6 million for the combination of the 3 batteries. These 3 battery projects are also strategically positioned as they are next to different type of fleets, which will convert into electric vehicles over the next few years and for which we will be able to provide optimal energy costs. Then yesterday, we announced that our Japanese subsidiary has concluded an agreement -- an aggregation agreement targeting existing stationary energy storage in order to manage 2-megawatt battery with an energy capacity of 8.2 megawatt hour installed in Tainai City in Niigata Prefecture with a targeted operation date in the first half of 2026. The expected value on a per kilowatt year basis in Japan is similar or greater than the value in Denmark. The expansion of the use of our platform for stationary batteries is working well and is going to help us accelerate our revenue growth over the next 18 months. Based on the growth for stationary batteries, we are seeing, we expect the number of battery project opportunities in Europe and Japan to accelerate, and we anticipate the same trend in the United States including territories covered by our Nuvve New Mexico subsidiary. The growth of the load on the electric system due to heat pumps and data centers is going to create a very large pool of energy. Energy storage is the only way we'll be able to keep the cost of energy equitable. We believe Nuvve's platform can provide an optimum return on investment for battery projects, especially when speed and aggregation can bring more value. In general, our subsidiary-base structure is working well, bringing more accountability across the organization. Fundraising is underway, and we shall be in a position to share more about our capitalization plan soon. NASDAQ gave us until December 31 to fix our bid price and shareholder equity efficiencies. And we are very confident we'll be able to address these efficiencies following that time line, and we have already received a shareholder approval for the reverse stock split. Some update on our crypto strategy now. Though we have not announced a full-scale move into the crypto space, we still see the convergence of energy, artificial intelligence and crypto at the core of our platform deployment. We had announced a potential purchase of Hype Token. We still have not purchased such acquisitions as we are still analyzing our best opportunity for integration of the blockchain into our platform. Indeed, multiple parameters have to be considered, including technical, economic, regulatory and operational, especially cybersecurity and smart contract capabilities. Looking closer into the quarter, the hardware revenue is more in line with our expectation, and we see a potential strong Q4. But for that, I will let David take you through the details of our financials. David?
David Robson: Thanks, Gregory. I will start with a recap of third quarter 2025 results. In the third quarter, we generated total revenues of $1.6 million compared to $1.9 million in the third quarter of 2024. The decrease was primarily driven by lower service revenues due to the absence of management fees earned related to the Fresno EV infrastructure project versus the same period last year. Similarly, year-to-date through September 30, 2025, total revenues were $2.8 million, which compares to $3.5 million for the prior year period. The year-over-year decrease in revenues is also driven by lower service revenues due to the absence of management fees earned related to the Fresno EV infrastructure project this year versus last year. Margins on products, services and grant revenues were 52% for the third quarter of 2025 compared to 52.1% for the year-ago period. Year-to-date margins through September 30, 2025, were 46.8% compared with 42% for the year ago period. Our gross margins year-to-date have increased 480 basis points due to higher profitability on our service revenues. As a reminder, margins can be lumpy from quarter-to-quarter depending on the mix. DC charger gross margins at standard pricing generally range from 15% to 25%, while AC charger gross margins are approximately 50%, but in dollar terms are a small fraction of the revenue of the DC charger. Grid service revenue margins are generally 30% while software and engineering service margins are as high as 100%. Operating costs, excluding cost of sales, was $5.9 million for the third quarter of 2025 compared to $15 million for the second quarter of 2025 and $2.8 million for the third quarter of 2024. Operating costs were elevated last quarter due to nonrecurring grants of $8.2 million paid to consultants we engaged to support our digital asset strategy. Cash operating expenses, excluding cost of sales, stock compensation, depreciation and amortization expense was $5.4 million in the third quarter of 2025 versus $5.7 million in the second quarter of 2025 versus $2.2 million in the third quarter of 2024. This represents an increase of $3.2 million in expenses over the same quarter last year. Other income was $0.4 million in the third quarter of 2025 compared to $0.2 million in the third quarter of 2024. Both periods benefited from noncash gains from the change in the fair value of warrants or debt offset by interest expense. Net loss attributed to Nuvve common stockholders increased in the third quarter of 2025 to $4.5 million from a net loss of $1.6 million in Q3 of 2024. The increase was primarily a result of higher operating expenses previously mentioned. Now turning to our balance sheet. We had approximately $0.9 million in cash as of September 30, 2025, excluding $0.3 million in restricted cash, which represents a decrease of $0.8 million from last quarter. The decrease was a result of $3.4 million used in operating activities and the repayment of debt of $2.3 million, offset by proceeds from common stock offerings. Turning to the quarter. Inventories were flat at $4.3 million at September 30, 2025 compared to the second quarter of 2025. During the quarter, accounts receivable increased by $0.8 million to $1.1 million at September 30, 2025 compared to the second quarter of 2025 due to higher shipments of DC chargers this quarter compared with last quarter. Accounts payable at the end of the third quarter of 2025 was $2.9 million, an increase of $1.5 million compared to the second quarter of 2025 of $1.4 million. Accrued expenses at the end of the third quarter of 2025 was $5.7 million, an increase of $0.1 million compared to the second quarter of 2025 of $5.6 million. Now turning to our megawatts under management and estimated future grid service revenues. As a reminder, megawatts under management is a metric we use to quantify the aggregated amount of electrical capacity from the deployment of our V1G and V2G chargers, which are primarily deployed in the electric school bus market in the U.S. and in light-duty fleet deployments in Europe. In addition to stationary battery, currently, these chargers and batteries are located throughout the United States and Europe. Megawatts under management in the third quarter increased 3.1% over the second quarter of 2025 to 26.4 megawatts from 25.6 megawatts and a 9.6% decrease compared to the third quarter of 2024. In terms of its composition, 0.2 megawatts were from stationary batteries and 26.4 megawatts were from EV chargers. The year-over-year decline is primarily related to the decommissioning of batteries under management due to site requirements. Megawatts under management from EV chargers increased to 25.4 in the third quarter of 2025, an increase of 0.7% over the first quarter of 2025. We continue to expect further growth in our megawatts under management in 2025 as we continue to commission our backlog of customer orders we have earned. In addition, to new business we anticipate winning which we have visibility to in our pipeline for both EV chargers and stationary batteries. Now turning to our backlog. On September 30, our hardware and service backlog decreased to $19 million, a decrease of $0.1 million from $19.1 million reported at June 30, 2025. As we look out to the next several quarters, we expect to see more developments on our New Mexico contract and projects we are working on in Japan. We also anticipate improvements in our cash burn resulting from the benefits of lower operating costs compared with last year. That concludes my portion of the prepared remarks. Gregory, back to you to conclude.
Gregory Poilasne: Thank you, David. In summary, we are very excited about our direction towards stationary storage. We expect a few more wins in the next few weeks and we'll share them as they become available and those agreements are signed and finalized. These battery deployments will come in addition to the charging station business that David just described. Thank you very much for listening to us today.
Operator: [Operator Instructions] Showing no questions. This will conclude our question-and-answer session. I would like to hand the conference back over to Gregory Poilasne for any closing remarks.
Gregory Poilasne: I would like to thank everybody who was listening to us today, and we are looking forward to sharing more with you about our progress over the next few weeks. Thank you very much. Bye-bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.